Operator: Ladies and gentlemen, thank you for standing by. And welcome to the FIS Fourth Quarter 2019 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] And as a reminder, this conference is being recorded.I would now like to turn the conference over to our host, Mr. Nathan Rozof. Please go ahead.
Nathan Rozof: Thank you. Good morning and thanks to everyone for joining us today for the FIS fourth quarter and full year 2019 earnings conference call. This call is being webcasted. And today's news release, corresponding presentation as well as webcast are all available on our website at fisglobal.com.Gary Norcross, our Chairman, President and CEO, will discuss our recent business trends and describe our quarterly operating performance. Woody Woodall, our Chief Financial Officer, will then review FIS' financial results and provides first quarter and full-year 2020 guidance.Turning to Slide 3. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the Safe Harbor language.Also throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings and adjusted net earnings per share. These are important financial performance measures for the company, but are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information to the GAAP financial information are presented in our earnings release.With that, I'll turn the call over to Gary, who'll begin his remarks on Slide 5.
Gary Norcross: Thanks Nate. Good morning and thank you for joining us today. I'm very pleased to be able to announce our fourth quarter and full year results. 2019 was a transformational year for FIS. We successfully closed and are well down the path on integrating the largest financial technology transactions in our industry. This, along with outstanding sales production, delivered strong organic revenue growth of 6% for the full year. All three segments performed exceptionally well for the year as well as the quarter. Our record sales and integration activities positioned us for an even stronger 2020. Later, I'll talk about our strategy and monetization, and how that is led to some very large noble wins that exemplify how our strategy is working, as well as driving increasing demand for our solution suite. This includes signing three of the largest banks in the country this quarter on our core banking solutions.In the fourth quarter, our organic growth rate accelerated to 7% resulting in $3.3 billion in revenue. Our new sales results were the largest quarter and year in our history, resulting in an increase in more than 20% in new sales for the year. Our installation backlog as well as pipeline continued to expand.Adjusted EBITDA margins expanded by 470 basis points, primarily driven by the high contribution margins resulting from the installation of our new sales, growing transaction volumes as well as the outstanding execution of our team to overdrive performance of cost and revenue synergies.As we think about integration synergies, we exited the quarter generating $80 million in revenue and $465 million in cost synergies on an annualized run rate basis. When including interest expense savings, we have already exceeded our initial cost synergy target. As a result of our strong performance, we are increasing our future expectations for both revenue and cost synergies, which we will detail later. With our impressive momentum heading into 2020, we expect continued acceleration in organic revenue growth and ramping earnings accretion.Turning to Slide 6. I want to talk about our strong sales results and client value propositions. Several years ago, we embarked on a transformational modernization journey. We began an ambitious new software development cycle, re-architected our solutions to be open, modular and cloud-based. And we also began modernizing and consolidating our technology delivery platforms. We did this because we believe that the financial services industry was moving towards its own transformation, and we wanted to be able to empower our clients in the broader industry to change. Disruptive technologies and new business models are forcing the industry to evolve by embracing future ready innovations like automation, artificial intelligence and machine learning, cloud-native technologies and digital omni-channel.Client demand as evidenced by our new sales results, demonstrate that our thesis about the industry is correct. The investments we've made over the past several years are yielding results for our clients as well as FIS.In our Banking segment, I'm very excited to announce that three of the largest banks in the country were combined total assets of more than $600 billion had embarked on the journey to transform their legacy core banking environment with FIS. This includes a top 10, a top 20 and a top 30 bank. MUFG Union Bank, a top 20 bank that we recently announced as well as a top 10 bank both selected our Modern Banking Platform for their transformations. They selected us because of our ability to deliver an innovative, personalized and next-generation solution as well as our ability to consistently execute large scale complex implementations.The Modern Banking Platform is entirely new and built from the ground up. It was developed with state of the art containers, digital first capability, open APIs and cloud-based delivery through a SaaS model. This next-generation highly flexible platform enables the innovative financial institutions to transform the future of banking, and clearly represents a significant milestone for the industry.I'm also pleased to announce that we signed an agreement with First Republic, a top 30 bank, to power its modernization program with our IBS core banking platform, including our industry leading open API framework Code Connect.IVS continues to prove why it's the leading SaaS core banking platform for large regionals throughout the US. First Republic is known for its strong growth and outstanding client experience. They chose FIS over the incumbent provider because of our open scalable platform, which will better serve the needs of the bank's existing client base, as well as allow them to continue to expand and meet their growing consumer and business clients. These three pivotal wins are the start of what we believe will be a decade-long global transition of core banking systems from legacy in-house applications to cloud-native open banking deployments.Turning to our Merchant segment. We are winning due to our superior client value proposition, strong integrated systems and continued flexibility on deployment. For example, one of our marquee clients, a top global search engine, continues to shift shared us after developing a proprietary routing engine that evaluates their processors for authorization and fraud rates, as well as cost of acceptance. We consistently demonstrate exceptional results across these categories leading the client to choose FIS for additional volumes across many of their U.S. businesses. In addition, a large global retailer who is number one in their category selected FIS to deploy omni-channel payment technology across Europe, covering both in-store and online payments. The company was looking to consolidate multiple acquirers and turn to FIS because of our unique capabilities and global reach.In our Capital Markets segment, our ability to simplify clients’ complex needs with our end to end solution suite is driving demand. Our modernization strategy has resulted in a very strong sales year, and we saw exceptionally strong growth in the fourth quarter.We continue to see increasing demand for SaaS deployment, and the team is doing an outstanding job balancing that demand with our on-premise license business. For example, we entered into a SaaS agreement, one of the world's largest asset managers. In this instance, we will be providing a bundled investment solution with the next generation digital offering and data visualization tools. I'm also excited to announce that one of our premium payback clients, a large oil and gas company, is expanding their relationship with us include our cloud-based solution for their corporate treasury, cash, liquidity and risk management needs. This further proves that our ability to cross-sell and up-sell large enterprise customers to help their business on numerous levels.Turning to Slide 7. In addition to these new wins, we are also accelerating our achievement of revenue synergies. While initially expecting to reach $100 million of annualized revenue synergies by the end of 2020, we have already achieved $80 million in annual run rate synergies in the first five months after closing. As a result, we're increasing our revenue synergy targets to $200 million exiting 2020, and $550 million exiting 2022. This reflects the faster than expected ramping of our multiple cross-sell opportunities.During the fourth quarter we continue to see meaningful volumes ramp across our debit networks as well as ongoing traction for a premium payback solution. We signed two very large premium payback clients during the fourth quarter as we're experiencing significant demand for this innovative solution.First, we will be partnering with PayPal to enable millions of online consumers to redeem earned rewards at checkout by allowing them to pay with points from thousands of U.S. banks. Second, I'm excited to announce that we entered into agreement with the top 3 U.S. retailer to help innovate its customer loyalty program with our premium payback solution. Together, we're enabling this client to deepen its relationships with millions of consumers across its 3000 locations.We also signed another large merchant referral agreement during the quarter. We continue to be very pleased with our ability to take share from incumbent providers across our midsized and regional bank clients. In the first five months, we are well ahead of our expectations regarding merchant referral sales agreements, our pipeline and sales activities continue to grow. And we think this sales opportunity will continue to exceed our initial plans.Now that we are well into our integration execution, we continue to discover new opportunities to cross-sell and bundle offerings as we go-to-market, giving a strong confidence in our newly-raised targets. For example, our joint prepaid solutions have emerged as a new cross-selling opportunity into the Worldpay client base. We've already signed a partnership with the global solutions provider to develop re-loadable fair cards for transit systems. Together, this partnership has already won our first large metro client and expect more to follow.With our very successful achievement of expense as well as revenue synergies, we are running a full 12 months ahead of our original integration schedule. Due to this accelerated timeline, we are also taking earlier steps to further streamline our organization to drive a much more functional operating model. Some of the changes we've recently implement will allow us to better leverage our go-to-market strategies between our Banking and Merchant segments. We believe this will not only further accelerate our revenue synergies, but also allow us to drive innovation into these markets.We have also consolidated technology development for our Merchant and Banking businesses within our combined Chief Operating Officer organization. This alignment will allow us to increase suite of development and deployment in this highly dynamic industry, creating what we believe will be a best-in-class software engineering organization. As you can see, we feel great about how the companies have come together. And this momentum and success gives us great confidence for an even stronger 2020.Moving to Slide 8. We have a highly resilient business model that is differentiated by our market-leading solutions across our segments. In Merchant Solutions, we're clearly a leader in global e-commerce and integrated payments. As we continue to grow, these channels have expanded by approximately 45% of our merchant business mix, up from 37% of Worldpay in 2017. Due to the high secular growth trends in these markets, we expect them to maintain their high rates of growth and continue increasing as a percentage of our revenue mix, reinforcing the durability of our organic growth profile. In Banking Solutions, we're differentiated by our comprehensive portfolio of next-generation solutions. These uniquely position us to help large global financial institutions as well as community banks and credit unions to transform their business models and to provide seamless customer experiences. Therefore, as the financial services industry continues to evolve, we will be the primary beneficiary of the growing momentum towards outsourced cloud-based technology from legacy in-house software.Finally, in Capital Markets, our investments in Advanced Technology and RegTech are paying dividends. We develop bundled offerings to enable our clients to simplify their complex front-, middle- and back-office processes with an end-to-end automated workflow that is helping us to win market share.In addition, by using the SaaS delivery based model, we have an opportunity to further increase our revenue growth profile by driving an increasing mix of predictable recurring revenue streams.In order to reinforce our reporting segments and drive increasing rates of organic growth, our priorities for 2020 are as follows. First, we will continue to invest in sales, innovation and delivery to capitalize on our growing new sales pipelines. Clearly, our investments over the past 5 years are driving the landmark new wins, and we're going to continue to lean into the strategy in 2020. Second, we will seamlessly execute the Worldpay integration in order to achieve our revenue and cost synergy goals. We are already well-ahead of schedule and will look to further accelerate our momentum in 2020. Third, we will continue to drive efficiency through our data center consolidation program. Last, we will continue scale on our high growth sector of the markets in order to reinforce the durability of our revenue growth profile.As you can tell by our exciting wins and accelerated synergy realization, 2019 was a transformational year, and we have line of sight to achieving even more in 2020.I'll now turn the call over to Woody to round up the financial discussion before he opens the call to questions. Woody?
Woody Woodall: Thank you, Gary. I would also like to welcome everyone to today's call. This morning, I'll cover our 2019 financial results and 2020 outlook. But before I take you through this, I would like to recap some of the financial highlights that we achieved in 2019, beginning with Slide 10.During 2019, we transformed our company and positioned it for continued acceleration and revenue growth and ongoing margin expansion with an eye toward creating superior shareholder returns both now and into the future. First, we accelerated our organic growth profile by executing the most significant and transformational acquisition in our company's history. We also reinforced the durability of our growth profile with record new sales and notable client wins like the ones Gary mentioned earlier. These reflect the outcome of our investments in innovation and technology that we made to benefit our clients. Given our success, we will continue to make these investments. Second, we expanded margins by aggressively driving cost synergies through our integration efforts, as well as ongoing internal expense initiatives that were in place well before the Worldpay acquisition. Third, we enhanced these operating savings with disciplined management of our below the line items. For example, we generated $275 million of annualized interest expense savings by strategically managing our capital structure. Finally, we generated $2.1 billion in free cash flow according to 20% of revenue. We anticipate free cash flow generation to accelerate and expect approximately 24% to 26% conversion to revenue in 2020. We used our phone free cash flow generation to not only pay down $1.4 billion in debt since the transaction close, but also the fund investments in innovation and integration as well as to continue to pay our dividend.For example, we recently acquired a majority of stake in Virtus Partners. Virtus is a small, but strategic tuck-in acquisition within our capital market segment. It provides high value, managed services and technology solutions focused on the credit and loan markets, which is an area of rapid growth. While it's too small to have a material impact on our consolidated results, it will further reinforce the capital market segments accelerating growth profile.Looking forward, we will continue to prioritize debt repayment in order to reach our 2.7 times leverage target by the end of 2020. Our strong cash will allow us to continue investing in technology and innovation to drive new sales and to make strategic tuck-in acquisitions even as we delever. As we move into 2021 and beyond, our capital allocation priority will shift toward reviewing strategic M&A opportunities that will increase our scale in secular, high growth markets. Absent M&A opportunities, we will return capital to shareholders through ongoing dividends and resuming buybacks.As you can see, based on our accomplishments in 2019, we are doing what we said we would do and even more. First, we initially expected the Worldpay transaction to be modestly diluted in 2020, before turning accretive in 2021. Today, we announced our formal adjusted EPS guidance for 2020, and the entire range is now accretive. Second, our initial revenue synergy target was $500 million. Today, we increased our revenue synergy target about 10% to $550 million. Further, we increased our 2020 revenue synergy target by 33% to $200 million. Third, we initially expected cost synergy is $400 million, which we raised again today to $675 million. Finally, we continue to see accelerating revenue growth in 2020 and beyond. These accomplishments demonstrate the hard work of the team and further increase my confidence and our strong outlook for 2020.Turning to our results on Slide 11. We finished the year on a high note exceeding our revenue and adjusted EPS guidance. In the fourth quarter, revenue increased 7% an organic basis to $3.3 billion with strong top-line performance across all three of our segments, which I'll summarize in a moment. Adjusted EBITDA increased to $1.5 billion during the quarter and our margins expanded by 470 basis points to 45%. Reflecting our strong operating results, adjusted EPS was $1.57 per share.I'll now provide some color on our segment results on Slide 12. Merchant Solutions’ organic growth accelerated sequentially to 10% as expected, and e-commerce and integrated payments saw continued strong growth in the mid to high teens. The segment generated EBITDA of $584 million in quarter, representing a 52% margin. As we look at 2020, we expect this segment to grow in the low-double digits as underlying business trends remain robust, and we expect revenue synergies to ramp throughout the year.Our Banking Solutions segment generated 5% organic growth for the quarter and 6% for the year, primarily driven by continued demand for our market leading solutions. This segment generated $682 million and adjusted EBITDA for a 44% margin. We expect Banking to continue to generate strong mid-single digit growth in 2020, and our impressive new wins provide increase confidence in the recent trends.Capital Markets’ organic revenue growth was very strong, accelerating the 6% when excluding a onetime item that drove approximately two percentage points of growth during the fourth quarter. This segment generated $339 million in adjusted EBITDA, representing a 51% margin. For 2020, we project capital markets to show modest acceleration over 2019 and improvement from our firm messaging, as we continue to drive growth in recurring revenue.Turning to Slide 13, we have made significant progress on our cost synergies as our integration of Wordpay is running ahead of schedule. We exited the fourth quarter generating $465 million in annual run-rate cost synergies, including $275 million of interest expense savings, and $190 million in reduced operating expenses. We're making substantial progress in reducing duplicative corporate costs, as well as consolidating our merchant and issuer platforms to generate the operating expense savings, which are also running well ahead of plan.With all of the progress that we've achieved already, we are increasing our 2020 cost synergy target to $600 million in annual run-rate cost savings. We are approaching hard to accelerate costs synergy attainment and complete our integration plans as fast as possible. By completing these efforts along with deleveraging our balance sheet in 2020, we'll be able to focus even more of our energy and driving revenue growth, and be ready to execute strategic M&A as we enter next year.Before I provide the details of our 2020 guidance, I would like to set the stage on Slide 14. We have significantly accelerated our organic revenue growth profile and expanded our adjusted with our adjusted EBITDA margins over the past three years. Revenue topped $10 billion for the first time in our company's history in 2019. And we are highly confident in our ability to further accelerate organic revenue growth in 2020 and beyond. Over the past three years, organic revenue growth increased from 2% in 2017 to 3% in 2018, and now 6% in 2019. With the multiple revenue synergy opportunities and accelerating sales momentum that Gary described earlier, we have significant visibility into the year and are increasingly confident in our expectation for organic revenue growth to approach 7% in 2020 before moving higher in the out years.Turning to margins. We have expanded adjusted EBITDA margins by more than 700 basis points over the past 3 years and we project another 300 points of expansion in 2020. This consists of ongoing initiatives and synergy achievement to generate approximately 400 to 450 points of underlying margin expansion, which will be partially offset by 100 to 150 basis points of additional investments. We are re-investing a portion of our below-the-line interest expense savings back into the business as increased investment in innovation, sales and delivery. All of these investments are targeted at driving continued acceleration of revenue growth. We are making these investments in order to capitalize on a significant momentum that we are seeing in the market right now. Our new sales pipeline is the largest I've ever seen, and I want to make sure we are positioned to win. In addition, we have a largest implementation backlog I’ve even seen, as you would expect following record new sales capped up with the big wins that we announced this quarter. Therefore, I also want to invest and delivery so we get our clients utilizing these new capabilities faster and start converting those big wins into revenue.Finally, I'd like to provide details of our first quarter and full year guidance on Slide 15. Based on current business trends, we expect revenue of $13.55 billion to $13.675 billion, and adjusted EPS $6.17 to $6.35 per share for full year 2020. This represents organic revenue growth of 6% to 7% and adjusted EPS growth of 10% to 13%. We expect to increase our adjusted EBITDA margins to approximately 44% for the full year, and we will provide more planning assumptions on the bottom of the slide. Our new sales momentum, substantial backlog and multiple cross-selling opportunities provide significant visibility, which gives me high confidence in achieving our guidance ranges.Turning to our first quarter guidance. We expect revenue of $3.180 billion to $3.210 billion and adjusted EPS of $1.30 to $1.34 per share. This represents organic revenue growth of 5% to 6% and adjusted EPS growth of 12% to 16%. As a reminder, we faced a tough comp during the first quarter after receiving about a point of one-time benefits during the first quarter of 2019, which we'll have to grow over in 2020. After the first quarter, we then expect revenue growth to ramp toward the upper end of our 6% to 7% range for the remainder of the year.Before we open the line up for questions, I'll wrap up our prepared remarks with the following. We are well-positioned to continue delivering substantial shareholder value in 2020 and beyond, as we continue to increase revenue momentum, expand margins and generate significant free cash flow. 2019 was a transformational year, and I'm looking forward to even stronger financial performance in 2020.This concludes our prepared remarks. Operator, you may open the line for questions.
Operator: Thank you. [Operator Instructions] And we do have something from the line of Jason Kupferberg with Bank of America. Please go ahead.
Jason Kupferberg: Hey. Good morning guys. Really nice results here in the quarter. So, I just wanted to refer the 2020 EPS guidance a little bit further. It looks like share count may be a little bit higher than the stream is estimating which kind of is what it is. But on the margin front, you talked about that 100 to 150 bip of additional reinvestment. Woody, I just wanted to see if you can elaborate a little bit further, maybe by segment, where you're going to be concentrating some of those reinvestment dollars?
Woody Woodall: Yeah, I thought it might be even helpful to walk you through the margin bridge we expect for 2020. We closed out 2019 with about a 41% margin. We are seeing synergies both revenue and OpEx driving a little greater than 200 basis points of improvement. We've got normal operating efficiency and scale in the business driving roughly 50 to 100 basis points of improvement. The data center consolidation efforts are driving about 50 basis points of improvement. And then the impact of having Worldpay in the business for the full year is driving about 100 basis points of improvement. That aggregates to about 400 to 450 basis points. Then we talked about the investments, roughly 100 to 150 basis points offsetting that to get you to about 300 basis points of expansion or an expectation of about 44% for 2020. When you specifically think about the investments, I think a lot of its being driven towards delivery. Those are -- those big wins Gary talked about are significant dollars of revenue sitting in the implementation backlog that we want to get those capabilities in there faster and get the wins turning into revenue. They would flow across both Banking and Merchant, primarily in terms of the incremental investment with incremental sales flowing in Banking and Merchant as well, as we see a very, very robust pipeline, particularly in some large opportunities in the marketplace right now.
Jason Kupferberg: Okay. Understood. And just as a follow-up, the $250 million increase in the run rate of cost synergies for 2020. Is that mostly all OpEx? Or is there a little bit more interest expense in there too? I think you had that incremental refined in December.
Woody Woodall: We expected it to be almost every dollar OpEx related.
Gary Norcross: Absolutely.
Operator: Thank you. And next, we will go to line of Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: Hey. Thanks guys. Nice results. Look, we saw strong revenue trends of about 7%. I think it was really driven by Merchant at 10, and Capital Markets really strong at 8. When we look at these synergies rolling out and notwithstanding the tough comp in first quarter, can you just touch on the range the 6 to 7 versus the fourth quarter run rate? Notwithstanding the first quarter tough comp, it seems like there should be a trend towards the better end of that seven, if not higher. And then, maybe if you just give us some scenarios that would be at the high-end and the low-end that you could see playing out through the year? Thanks.
Woody Woodall: Yes, I think, I even called it out in my prepared remarks. After the first quarter, we anticipate to be at the high end of our growth guidance for the remainder of the year. Again, consolidate you are placing about a point of growth that's where the 5% to 6% came from. Beyond that, we would expect to be towards the high end of that range.
Darrin Peller: Okay. I guess what I'm wondering is if like what specific scenarios could run you to the end or potentially in the low end, beyond, just the timing and the cadence, timing on synergies, perhaps. Maybe just some examples of how revenue synergies are going? What led you to raise the revenue synergy targets?
Gary Norcross: Yeah, no, we raised – it’s great question, Darren. We raised the revenue synergy guidance just because of our actual cross-sell wins. What propels us to the upper end of that will clearly be the timely on-boarding of these large implementations that Woody discussed. And as you see, like we have in the past, we’re accelerating some investment into this growth curve as the growth curve accelerates and our backlog builds. Obviously, we want to make sure that we have the personnel necessary to install the solutions. But the response to our solution capabilities is just really been tremendous across both Banking and Merchant -- we feel -- and Capital Markets for that nature. We highlighted across the winning Capital Markets with our premium payback in prepared remarks. So really across all the segments, we're just seeing really good solid demand for next generation solution suite. Our pipeline continues to grow, and our sales, more importantly, and we continue to close the business. And all of that pushed us to raise our revenue guide. We exited the year with $80 million in run rate. And that's installed in producing revenue. So that's well ahead of our initial $100 million target for them to 2020. So when you look back into that we are already at $80 million through the first five months, when you look at the sales that we even just highlighted in Q4. And as those on board in the first half or through the first three quarters of the year, plus with our pipeline, we feel really good about revenue synergies. And to Woody's point, feel very confident about the upper end of those guidance ranges.
Darrin Peller: Thanks guys. If I just squeeze in the two big banks you won, First Republic and Union. Those are really large wins that we don't see often. So can you just give a little quick color on that? And then I'll go back to the queue. Thanks.
Gary Norcross: Yeah, we talked a lot about on this call about – one, there were three significant wins. There was a top 10 that we didn't name, but there was also the top 20 and top 30 that you just mentioned. We talked a lot about on this call is that there is a tremendous amount of pent up demand in the marketplace. And this is a global statement of very large financial institutions that are tied to extremely old legacy platforms. And we talked a lot about when we'll see that market finally starting to transition to a much more modern, much more open architecture to allow them to continue to compete for the next several decades. And I think this quarter was a significant moment in the industry where we saw, as I said, a top 10 institution and top 20 institution, and top 30 institution, all makes that decision to go through a transformation as a core banking. And in many instances, they're going off very multiple decades old type legacy capabilities to a much more future modern architecture. So we're real excited about what we're seeing in the industry. I can honestly tell you the pipeline is full as I've ever seen for core banking on a global basis for next generation capabilities. And we feel very good about the fact. We started this investment cycle. Three, four years ago, we've been investing heavily into these next generation capabilities, and really feel like we're in a very good spot, as far as timing the industry for when that transformation is going to begin.
Operator: Thank you. And next, we will go to the line of Tim Chiodo with Credit Suisse. Please go ahead.
Tim Chiodo: Thanks a lot guys. So my question is on the Worldpay e-commerce acquiring business, clearly, a leader in global e-commerce acquiring. And then, also Worldpay in many, many in-store markets, sort of a good number of key markets globally. But there does seem to be an opportunity to expand in store acquiring into new international countries. And just wanted to see if you could talk a little bit about how we should think about that expansion, rough timing, what the opportunity is? And just a confirmation, that potential upside is not actually in the formal revenue synergies?
Gary Norcross: No, again, that's a great question, and you're exactly right. It's not in the revenues synergies upside. And we are actively working through those strategies, and we will be pushing into those other markets as you described. We're very excited about the Merchant team and how it’s come together under FIS. We're very excited about the combinations that we're seen between our banking relationships and our broader merchant relationships. And so, like everything we do, we participate on a global basis. We've already been seeing up the countries that we're focusing on building out those market strategies, aligning our development initiatives to correspond of that. And so more will be coming on that. But that's absolutely upside to the future of the company.
Operator: Thank you. And next we will go the line of Ashwin Shirvaikar with Citi. Please go ahead.
Ashwin Shirvaikar: Thank you. Hi, guys. Hi, Woody.
Woody Woodall: Hi, Ashwin.
Ashwin Shirvaikar: Hey, good solid 4Q ’19 results. I’m kind of -- I was hoping that since you stood by the future 8% to 9% growth, I'm hoping you can kind of bridge the 6% to 7% this year, and thinking this is going to be closer to 7% like you mentioned in the earlier question. To bridge that gap, with regards to how much of that close from incremental synergies versus some of these larger wins? It seems like they're more -- they seem to be longer events because they're very large like, a top 10 bank, for example, might take longer. Could you talk a little bit about that?
Gary Norcross: Yeah. No, I think, you're exactly right. Obviously, these larger programs do take a longer period of time to implement. We've talked about that multiple times on the call. It’s not uncommon that goes through 12-plus month sale cycle, and then you got receptacle 12-plus month implementation cycle. What makes us excited about driving our growth rates beyond 7% and upper single-digits is not only the demand that we're seeing on cross-sell in revenue synergies, we talk a lot about that, and we continue to not only raise the dollar amount of that. We've also raised the timing of it being falling it in earlier than what we thought. But we also, when we talked about this now for multiple, multiple quarters, we're in well over a year now, a really rapid sales growth around our newer technologies. And that's whether it's on the Banking business, on the Merchant business or on the Capital Markets business, the demand we’re seeing for our cloud-based deployments, our ability to lower the total cost of ownership of these large institutions and drive a real differentiating value proposition is playing out very well in the market. So you've got this combination of revenue synergies. But more importantly, this combination of being able to compete and take share and drive significant new sales wins across all of three of our verticals gives us a lot of confidence that our growth profile is going to continue to accelerate in the out years as Woody discussed.
Ashwin Shirvaikar: Got it. And I might have missed it, but did you -- from just clarification perspective provide either the TRA terminations included in the tax rate outlook and I might have missed the e-commerce growth rate if you specifically provided that within Merchant?
Woody Woodall: Yeah, I'll touch on both of those. On the e-commerce growth rate, e-commerce and integrated together grew mid to high teens with e-commerce growing higher over the average, and integrated grown slightly lower than that average, rolling back to a mid to high teens. With regard to the TRAs, the structure of the deal is only giving an immaterial benefit to EPS in 2020 and 2021 with further EPS benefit in 2022 and 2023 just on the way the deal was actually structured and the timing of actual owner ownership of the TRAs, Ashwin.
Operator: Thank you. Next, we will go to the line of David Togut with Evercore. Please go ahead.
David Togut: Thank you. Good morning, Gary and Woody.
Woody Woodall: Good morning, David.
David Togut: Good to see the Merchant Solutions growth returned to 10% organic in Q4. If you could break down your expectations for 2020, what do you call low-double digit organic expected for merchants. What would your outlook fee for e-com and integrated as kind of one bucket, and then sort of the other channels kind of growth rate for 2020?
Woody Woodall: Yeah. If you think about Merchant, I think we would still anticipate e-com and integrated to be in the mid to high teens from a planning perspective. Growth in the fourth quarter was strong, expectation and pipeline is strong, so we still feel very good about that. With the profile of the remainder of the business being similar to what you saw in the fourth quarter on the growth profile, obviously, we're hoping to see some of those synergies flow into both Banking and Merchants. So you've got to balance them around 2020. Our expectation around revenue synergies blends roughly 50-50, going into the Banking segment versus the Merchant segment. But yeah, we're still pleased with the overall growth, certainly pleased with the acceleration in the fourth quarter, and are looking for low double digits, all of 2020.
David Togut: Got it. And then just as a quick follow-up. I think what historically you model in about 150 basis points of revenue headwind annually from consolidation in pricing pressure. Can you kind of share with us your expectations on that front for 2020 and are there any specific consolidations that are kind of baked into your guidance?
Gary Norcross: Yeah, we would have similar levels of competitive headwinds that we always baked into the model, so no real change there. David, I would say at this point, we don't have anything specifically outlined, other than historical trends.
Woody Woodall: Yeah, no, when we think about consolidation in the industry, we think obviously across our client base is primarily impacting the banking capital markets group that's going to continue, but we're not, we're not, we're not projecting that's going to accelerate dramatically from where, from what we saw in 2019. So it's been, it's been a fairly consistent trend. One of the nice things about that FIS' position is because we're typically positioned in the large regional market. Those tend to be the customers that are doing in the consolidating. So we've been in a lot of instances the beneficiary of that, of those combinations. But we'll continue to watch it closely and but modeling pretty well consistent behavior over 2019 on that front.
Operator: And next we will go to the line of Dave Koning with Robert. W. Baird. Please go ahead.
Dave Koning: Yeah. And I guess, first of all you know when you first gave the accretion to the $6.60 number, maybe a few quarters ago or so, I guess since then we've had, what we think maybe $0.30 of benefit from just better synergies, lower refi, tax rate, I think a little better. Is it fair to think of the bridge that that would have maybe brought it up $0.30 or so, put these incremental investments and then what looks like no real use of cash in 2020. It looks like you're not really trying to push the share count down at least in guidance. Those two things maybe are what's bringing it back a little bit down, is that a fair bridge?
Woody Woodall: That's pretty close, yeah. When we guided accretion and I think in the third quarter, we didn't anticipate the second round of refi benefit. We absolutely we're pleased and being able to go back into the market and grab another $135 million or so of interest savings. We saw that as an opportunity along with the sales execution that was delivered in the fourth quarter to reinvest that in sales and delivery, which we kind of described before. We certainly are not buying back shares at this point until we reach our deleveraging targets. So those are primarily your two big deltas, Dave. You got it pretty close.
Dave Koning: Okay, good. And then two really quick modeling ones, the size of that acquisition and when that hits and then, is the tough comp in Q1 is that solely in the banking segment.
Woody Woodall: The tough comp in Q1 is in the banking segment. The small acquisition was roughly revenue contribution of about $75 million in 2019. And we closed it relatively early in Q1.
Operator: Thank you. And next, we will go to the line up George Mihalos with Cowen. Please go ahead.
Georgios Mihalos: Hey guys, thanks. Thanks for taking my questions. I guess, Gary and Woody, I'm not sure if I missed it, but did you give what the increase in backlog is year-over-year. I think it was up 9% last quarter. Just curious if you have an update on that, and any color on any specific segment strength that may have been surprising to you.
Woody Woodall: We didn't give a specific dollar amount of backlog, that will get disclosed in the 10-K. What we did talk about was the implementation backlog component of that overall backlog was the highest I've ever seen. While we didn't give a dollar amount, it certainly connected to the three or four, the three big wins in core banking that Gary described plus some of the big wins in Merchant.
Gary Norcross: Yeah, we really saw great strength in the quarter. And frankly, for the whole year across all three of our segments really saw great growth in capital markets around our Reg Tech solutions and some of the things we're doing through our SaaS model and cloud-based technologies. The Banking business saw strong sales across our next generation solutions, our next-generation digital, our omnichannel things we're doing there. Obviously, we highlighted, what's going on with our core banking transformation. And then Woody has talked about several times on the call the strength we saw across e-comm and integrated in the merchant business. So we're very pleased with how '19 unfold, and obviously all of that pushes us into 2020 with a lot of, a lot of new sales we have to deliver on, which is good.
Georgios Mihalos: Well, that's great. You guys really build up on the opportunity. And just as a quick follow-up, if we can kind of shift gears a little bit just to the merchant side. I'm just curious, your perspective has been some more consolidation in Europe now curious if you think that will have any impact on the business whether competitively or from a partnership standpoint and then Visa looking to adjust interchange and potentially raising it I guess on the e-comm side. Just curious if you think that will have any impact on the legacy Worldpay business. Thank you.
Gary Norcross: Well, look we continually focus on all kind of all the combinations going on, any M&A activity, any partnerships and obviously we watch that very closely. At this point in time, we feel very good about our position across the globe, especially in Merchant and our ability. When you look at our -- when you look at our scale on merchant and our ability to truly be the only global provider of e-comm at scale, we feel very good about our positions, but we'll continue to -- we'll continue to watch those things. As far as these typically we pass on all of those through our fee structure very transparently. So obviously, we're working through those changes. But we don't see any impact at the moment.
Operator: Thank you. And next, we will go the line of Tim Willi with Wells Fargo. Please go ahead.
Tim Willi: Yes. Thanks to you, and good morning. I had two questions. The first was, again back to the Merchant, a little bit. Thinking about again the capabilities that you talked about with Worldpay and the omnichannel, and over the last four years to five years, whatever it is, retailers have been investing substantially in digital commerce platforms. When you think about pipelines for sales activity, are we at a point where retailers are sort of reevaluating what they've now built sort of focusing on the back-end side, the operational aspect of this. Some of them got to consumer side, correct. And sort of wondering if there is an escalation in RFPs or something you might see coming down the pipe for sort of global omnichannel that might be different now than even a year ago, year and a half ago, so we farther down this journey with the retailers.
Gary Norcross: Tim, it's a good question. What I would tell you is obviously we've only been involved now, a little over five months to six months. What I'm telling you -- what we're seeing in the sales cycle, yeah, I wouldn't say an increase in RFP activity, but what I would say is, we're seeing increased pipeline and increased demand for our capabilities. And so we're obviously leaning into that. Worldpay had made some significant investments around omnichannel leading up to our combination. Obviously, they had made some significant investments in e-commerce. They had also made some, some significant investments in the UK on the new acquiring platform. So when you look at all of those things, what they had done on the consolidation between Vantiv and Worldpay, all of that is playing in very nicely into our sales success and allowing us to compete on a global very effectively. So we're seeing very good strong pipeline growth and good solid sales success especially across the e-commerce and omnichannel as I highlighted, one in Europe in my prepared remarks.
Timothy Willi: Great. And then my follow-up and I'll hop back in the queue is on sales, you talked a lot about cross-sell on this call and I know you guys are always looking at the sales force and optimization and making through your cross selling and selling effectively, has there been any changes as you move through this integration with Worldpay in terms of sales structure compensation for cross-selling. Anything along those lines that maybe is kicking in and help think to elevate the performance that you highlighted on this call?
Gary Norcross: You know on prior calls, we actually highlighted the fact that we didn't want to change any commission plans. We want to make sure that everybody was very focused and prepared to execute and got the same credit they got before the combination pulled together. That's always been an important step for us because the last thing we want to do is create any confusion across our sales force. So I think the cost of those because we haven't made any changes and because we're now giving everybody an opportunity to pull these other products. That's helped to increase our pull-through. I think the other side of it and we highlighted it on the call in the prepared remarks is we're just finding more and more capabilities across the two companies that resonate with those existing customers.So I highlighted our prepaid opportunity. That was something we really didn't identify during due diligence. But what that came out of a cross-sell into an existing Worldpay customer that now has allowed us to create a whole new opportunity and we see a lot of growth in that opportunity now as we've built that out. So I think those two things just pulling the teams together because we're a full 12 months ahead of where we thought we'd be on integration. The benefits of the team coming together and working as a team and identifying those opportunities, you're just really seeing that pay through in the cross sells.
Operator: Thank you. And next we will go to the line of Craig Maurer with Autonomous. Please go ahead.
Craig Maurer: Good morning. Thanks for taking the questions. First is, I wanted to understand what's assumed in underlying UK trends to allow you to hit the guidance this year as we've seen some significant call-outs of the weaker UK from Visa Barclaycard etc. And just secondly, there was a meaningful uptick or at least significantly more than higher than our expectation in stock-based compensation, and I wanted to understand the trend there. Thank you.
Gary Norcross: Well, on the UK front, as we talked about in prior calls, we've modeled -- frankly our UK volumes are already pretty much at recessionary levels. We saw a little softness in quarter on the UK, but we've modeled that end. We've really modeled in no recovery. But we've also modeled in the volumes at about where they were in Q4. In other words, we're not modeling them to -- to fall off a significant amount. We feel very comfortable though with our, with the business that we are signing. We've also got some new leadership in the UK. So we think there is an opportunity that really grow our share in the UK as well. So we're pretty excited of what the team is coming together on that front. But the quick answer is for 2020 we pretty much modeled the UK consistent with what we saw in 2019.
Woody Woodall: On the stock compensation comment, the vast majority of it is around accelerations related to severance activity in the fourth quarter.
Operator: Thank you. And next we will go to Ramsey El-Assal with Barclays. Please go ahead.
Ramsey El-Assal: All right, thanks for taking my question. I guess dovetailing with Craig's question just before mine, can you comment on external and macro factors that you have baked in the guidance, obviously we've been hearing a lot of that for coronavirus but also the IT spending environment and we have the election year impacts on bank budgets just what are you presuming in the context of your guidance.
Gary Norcross: Yeah, let me take a few of these and then will let Woody get into the details. But the quick answer is we've modeled a fairly consistent 2019. I would say it that way and our pandemic taskforce is obviously very focused on the coronavirus. Right now we don't see any material impact for us throughout the Asian region. If we do have any impact at all, it would just be a matter of a few million dollars in Q1, but we're monitoring it very closely and frankly we're very comfortable that but that's not going to be an issue. So we continue to watch those things. But as far as when we look at the growth rates around the world we are minor modeling consistency through 2020. Any other comments, Woody?
Woody Woodall: Yeah. As we've talked about in the last quarter, we continue to see a model softness in the UK and Europe broadly. We have not put anything in our 2020 plan with regard to some outcome from the election. The remainder of it has been relatively status quo in terms of the underlying health of the global economy.
Ramsey El-Assal: Okay. And then secondly, and lastly from me, could you give us kind of a status report on some of the key revenue synergy buckets. I think you mentioned that the debit opportunity was now at scale. I think that was introduced in the press, in the presentation, which I presume is somewhat fully executed upon. What about the other key synergy buckets, what inning are you in terms of the Premium Payback realization of synergies and maybe also on the card-not-present authorization rates progress there. I think you mentioned that a little bit on your prepared remarks but ...
Gary Norcross: Yeah. No, no, Ramsey it's great questions. I would say we're just, obviously we're just getting started with our revenue synergies. While we're excited about $80 million, we've got a long way to go to reach our range targets. We feel great about our targets and obviously we feel great about the sales success we've had. I would tell you, I even put in my prepared remarks, our debit routing has done very well and so that continues to contribute. We actually saw good volumes, additional volumes incoming through in the quarter.So I would say we are not completely finished there, but as you highlighted in late innings and those were some very early wins. Premium Payback, we're just getting started. I mean we had some very significant signings. You don't want to trivialize a top 3 merchant and PayPal. I mean those are, those are just huge opportunities. Obviously, we got to deploy those next year. So we haven't started seeing revenue growth but more important than that we're seeing really large pipeline and additional sales around Premium Payback. So that's, those aren't the only two that we've signed.We've now signed a number of customers. The one that has surprised us is merchant referral program across our regional banks. We actually didn't predict the response that we're seeing on that base in our larger institutions, which is a very pleasant surprise. As far as the authorization rates and fraud rates, we've talked about that on prior calls, really just working on the models, working on the data consolidation. So I would argue those results have not even started at this point and we're doing the work, leading up to doing the work that will then drive the results in late 2020 and 2021. So very early stages on a lot of these things, but feel really good about the early results, the signings to date in the pipeline.
Operator: Thank you. And next, we will go to the line of Brett Huff with Stephens. Please go ahead.
Brett Huff: Good morning, guys. Congrats on a nice quarter.
Woody Woodall: Thank you.
Brett Huff: I know we're getting near the end of the game here on the Q&A. So I'll just ask one, a little more detail on the core wins. So we've been doing this a long time, and we've been hearing about the big banks going to do their core transformations for what 15 years. Is it just really the beginning of that? And you guys got three of the big ones but I guess my question really is, if we're finally at that tipping point, what is your visibility into the other big banks that you serve also doing the same thing?
Woody Woodall: Yeah. I'll add some color, Brent. And then let Gary follow on. Even if you go back to the Investor Day, a couple of years ago, we had one of the questions in the audience was, will you ever see a top 20 or a top 30 bank outsource to a company like FIS. This quarter we saw three. So I want to say it's really important that we're seeing some of this as a tipping point as I've described, the pipeline is very full and we're feeling very optimistic about it.
Gary Norcross: Yeah, no, I really do. I think it's just a matter, we talked about it in the past. We're really seeing a transformation around technology that frankly none of us have seen in our careers. And so with this transformation in technology, a lot of people talk about the fourth Industrial Revolution. But the reality is these newer technologies are going to require a replacement. You're not going to be able to iterate your legacy technologies, you're going to have to go through a conversion that really take the advantage of these new open standards, this new scaled standards, this new availability standards. And so, yeah, Brett, I think we really have as I said in our prepared remarks, we are seeing a significant milestone in the industry when you've got a top 10, a top 20 and a top 30 bank all making their decision to go through that transformation.Woody's points are dead on. We've had a lot of early success with our next generation core banking system, modern banking platform but what we are. But now frankly that's one of the reasons why we're investing so much in delivery. We've got a very, very strong pipeline and active discussions going on. So we don't expect these to be the only big deals announced. So we're excited about it, and we do believe this is a global issue. I was just over in Asia earlier in January, and every customer I met with and even in Q4, when I was outside of the country, every CEO, I was meeting with is talking about this issue. And so this is a global opportunity for FIS and I just think we're very well positioned and just getting started. And I think for the next 10 years, you're going to see this kind of transformation is going to occur across core banking.
Brett Huff: That's I needed. Thanks guys.
Operator: Thank you. And our last question comes from James Friedman with Susquehanna. Please go ahead.
James Friedman: Hi. Thank you. And let me echo the congratulations. I'll just ask my two upfront in the interest of time. So with regard to the 100 basis points and 150 basis points of reinvestment related to delivery, what should we think about that is one-time in nature or will it go away in '21? And then while we're making our models on a quarterly basis, thank you for the call-outs about Q1, are there any other call-outs that we should remember about the other quarters in terms of non-recurring? Thank you.
Woody Woodall: Yeah, I think your second question first. I think the only other call-out would be fourth quarter 2019, we called out about 2 points of benefit in capital markets that we don't anticipate. We actually normalize and set the underlying growth of 6% versus 8% that you see on some of the charts. Beyond that no other call-outs. If you go back to the original question would we continue to invest or is this one time? I certainly hope we continue to invest here. If we continue to see sales, particularly in some of these larger institutions outsourcing their core banking, I'd certainly be happy to continue to make this investment in delivery.
Gary Norcross: Yeah, look, we want to make sure, James, whatever we do is that we continue to invest behind our growth to continue to accelerate that growth curve. So like we've seen in the, we've got a real unique opportunity here where we really do see the market moving through our sales results and our sales channels across all of our segments. So they need to have ability to invest in that and deliver on these capabilities and get them in market and help further accelerate our sales team, we're investing in sales resources, as well. So Woody talked about that, it is not just all delivery. Right now we've got a tremendous amount of demand, we want to make sure that we have the necessary people in markets that can capture and capitalize on these opportunities.
Operator: Thank you. And we will now go back to Gary Norcross with any closing remarks.
Gary Norcross: Thank you. I'm proud of our outstanding results in 2019. I also want to recognize the work our team has done to accelerate our integration timeline by a full 12 months. I would also like to thank all of our associates across the globe who are working hard every day to advance the way the world pays banks and invest. If you have any questions, following today's call, please reach out to our Investor Relations team. I want to thank you for joining us today.
Operator: Thank you. And ladies and gentlemen, this conference will be available for replay after February 14th at 11:00 AM Eastern until midnight March 13th. You may access to AT&T replay system at any time by dialing 1866-207-1041 and entering the access code 1596394. International participants please dial 402-970-0847. Those numbers again are 1866-207-1041 and 402-970-0847 with an access code of 1596394. That does conclude our conference for today. Thank you for your participation and for using AT&T conferencing service. You may now disconnect.